Operator: Hello, and thank you for standing by. My name is Regina, and I will be your conference operator today. At this time, I would like to welcome everyone to the Atmus Filtration Technologies Inc. Fourth Quarter and Full Year 2025 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. If you would like to ask a question during this time, simply press star then the number one on your telephone keypad. To withdraw your question, press. We kindly ask that you limit your questions to one with one follow-up. I would now like to turn the conference over to Todd Chirillo, Executive Director of Investor Relations. Please go ahead. Thank you, Regina.
Todd Chirillo: Good morning, everyone, and welcome to the Atmus Filtration Technologies Inc. Fourth Quarter and Full Year 2025 Earnings Call. On the call today, we have Stephanie Disher, Chief Executive Officer, and Jack Kienzler, Chief Financial Officer. Certain information presented today will be forward-looking and involve risks and uncertainties that could materially affect expected results. Please refer to the slides on our website for the disclosure of the risks that could affect our results and for a reconciliation of any non-GAAP measures referred to on this call. For additional information, please see our SEC filings and the Investor Relations pages available on our website at atmos.com. Now I will turn the call over to Stephanie.
Stephanie Disher: Thank you, Todd, and good morning, everyone. Today, I will provide an update on our fourth quarter and full year results. I will also share details of the significant progress we achieved in executing our four-pillar growth strategy during the year. And I will review our outlook for 2026. Jack will then speak to our financial results. I want to begin by thanking Atmisonians around the world for delivering strong 2025 results. These results were delivered through disciplined execution despite challenging global markets while advancing meaningfully against our four strategic growth pillars. I am proud and honored to lead an impressive team
Stephanie Disher: who are committed to solving our customers’ filtration challenges. During the fourth quarter, we announced the acquisition of Cook Filter, which subsequently closed in early January. This established our industrial air filtration platform which is aligned with our strategy and unlocks an opportunity to accelerate our growth. The acquisition also established our new Industrial Solutions segment led by Rakesh Gangwani, Senior Vice President Strategy and President of Industrial Solutions. We are excited to bring the Cook Filter product brand into Atmus and welcome the talented team to our company. Upon closing of the transaction, I met with employees and was inspired by their customer focus and desire for growth. The combination of Cook’s deep industry experience with Atmus’s filtration expertise and footprint will provide benefits for all stakeholders. With the acquisition, Atmus will report on two business segments in 2026: Power Solutions, which serves global on-highway and off-highway equipment markets, and Industrial Solutions, where Cook Filter will be reported.
Stephanie Disher: Now let me provide an update on our capital allocation strategy.
Stephanie Disher: During 2025, we returned $78,000,000 of cash to shareholders consisting of $61,000,000 of share buybacks and $17,000,000 of dividends. We have $69,000,000 remaining on our share repurchase authorization and expect share repurchases of $20,000,000 to $40,000,000 in 2026. Behind our strong performance is our people, and I want to take a moment to provide some insight into how the culture at
Stephanie Disher: Atmus is driving momentum in the overall business.
Stephanie Disher: Last quarter, I spoke about the Atmus Way, which incorporates our purpose, our values, and our strategy. It also includes what we call mindset shifts, which reflect specific areas where we want to intentionally shift the culture of our company. One of our mindset shifts is customer-focused. We want every employee at Atmus to be focused on our customer and to understand how their role makes a difference for our customers. Our culture at Atmus is our strength. It is the combination of our culture and the clarity of our growth strategy which makes me confident that we are well positioned to unlock our growth potential. Now let us turn to our four-pillar growth strategy and highlights from 2025. Our first pillar is to grow share in first fit. In 2025, we launched the next generation of our NanoNet media, NanoNet N3. This media enables compact filter designs while delivering superior service life in the harshest environments across a wide variety of fuels. In December, this product was awarded the World Filtration Institute’s
Stephanie Disher: prestigious
Stephanie Disher: Product of the Year, a recognition of the products that will shape the future of the filtration industry. This technology leadership is a cornerstone in growing our first fit business, along with dedicated sales and technical resources focused on solving the filtration challenges of our customers. We continue to win with the winners by growing our long-term partnerships with global OEMs along with leading regional OEMs across a broad range of applications. Our second pillar is focused on accelerating profitable growth in the aftermarket. We are expanding our market presence in independent and retail channels with new distributors. This allows us to provide broader channel coverage of our industry-leading Fleetguard and Cook Filter branded products and deliver them to our customers when and where they need them. We are also partnered with leading global OEMs who are expanding their own aftermarket businesses and growing market share. We work collaboratively with these industry leaders allowing us to expand our business while simultaneously fueling growth for our partners. Our third pillar is focused on transforming our supply chain. During 2025, we completed our transition to the global Atmus distribution network. This allows us to directly control our customer experience. Additionally, our network is designed to optimize and grow our aftermarket business. We continue to increase the on-shelf availability of products to ensure we have the right products for our customers when and where they need them. Our fourth pillar is to expand into industrial filtration markets. The completion of the Cook Filter acquisition establishes our platform in industrial air filtration, providing us with the opportunity to grow this business both organically and through potential bolt-on inorganic transactions. We will continue to look at opportunities across the verticals of industrial air, industrial liquids excluding water, and industrial water. However, in the near term, we expect to focus our team on integrating the Cook Filter business.
Stephanie Disher: Now let us discuss our financial results
Stephanie Disher: starting with the fourth quarter. Sales were $447,000,000 compared to $407,000,000 during the same period last year, an increase of 9.8%. We continue to deliver strong outperformance in the fourth quarter, which drives higher sales even as soft market conditions persisted in most of our global markets. We also benefited from increased pricing and favorable foreign exchange. Adjusted EBITDA was $85,000,000 or 19.1% compared to $78,000,000 or 19.1% in the prior period. Adjusted earnings per share was $0.66 in 2025, and adjusted free cash flow was $31,000,000. Now let us review our results for the full year. I am pleased with the strong momentum we saw throughout 2025. Sales were $1,764,000,000, an increase of 5.7% from 2024. Growth was driven by significant outperformance throughout most of the year in the face of challenging global market conditions and from favorable pricing. Adjusted EBITDA was $354,000,000, up from the prior year of $330,000,000, resulting in adjusted EBITDA margin of 20%. Adjusted earnings per share was $2.73 and adjusted free cash flow was $158,000,000. Now I will discuss our market outlook for 2026. Starting with the Power Solutions segment. In the aftermarket, we have not seen a sustained improvement in overall freight activity and expect the market to continue at current levels and be relatively flat year over year. Let us now turn to our first fit market. In the heavy-duty market, our customers have indicated a weaker first half of the year, with recovery in the back half of the year. We expect both heavy and medium-duty markets in the U.S. to be in a range of flat to up 10% compared to 2025. In our Industrial Solutions segment, we expect favorable market conditions. We expect the markets to contribute 1% to 4% of 2026 growth. Our team delivered significant share growth in 2025, which is now in our base business. As we continue to move the bar higher, we expect to build on this track record of strong market outperformance to deliver an additional 1% to 2% of share growth. Overall pricing is expected to provide approximately 1% of revenue growth. We are lapping strong aftermarket pricing during 2025 in our Power Solutions business which resulted from base and tariff pricing. Some tariff pricing implemented in 2025 will not carry into 2026 due to changes in status of global trade agreements, implementation of offsets, and the actions we have taken to mitigate the impact of tariffs on our customers. Based on tariffs in effect as of February 1, we do not expect additional tariff pricing in 2026. However, we will continue to be nimble and adjust pricing as necessary should the tariff environment change, and we expect to remain price-cost neutral on tariffs. The U.S. dollar is expected to weaken year over year and provide an approximate 1% revenue tailwind. Overall, our expectations for Power Solutions total revenue will be in a range of $1,790,000,000 to $1,850,000,000, an increase of approximately 3% at the midpoint from prior year. In Industrial Solutions, we expect revenue to be in the range of $155,000,000 to $165,000,000 which includes revenues from the Cook Filter closing date of January 7. Taken together, we expect total company revenue to be in a range of $1,945,000,000 to $2,015,000,000, an increase of 10% to 14% compared to 2025. We expect strong operational performance along with investment for growth. Our expectations for total company adjusted EBITDA margin is to be in a range of 19.5% to 20.5%. Lastly, adjusted EPS is expected to be in a range of $2.75 to $3. Now I will turn the call over to Jack who will discuss our financial results in more detail.
Jack Kienzler: Thank you, Steph, and good morning, everyone. Our team delivered strong financial performance in 2025 despite continuing uncertain market conditions. Let us start with the fourth quarter. Sales in the fourth quarter were $447,000,000 compared to $407,000,000 during the same period last year, an increase of 9.8%. The increase in sales was primarily driven by pricing of 5%, higher volumes of 4%, and favorable foreign exchange of 1%. Gross margin for the fourth quarter was $127,000,000 compared to $107,000,000 in 2024. The increase was primarily due to the benefits of higher pricing and volumes, partially offset by higher logistics and duties costs and other manufacturing costs. Selling, administrative, and research expenses for the fourth quarter were $57,000,000, a decrease of $2,000,000 compared to the prior year. Joint venture income was $9,000,000 in the fourth quarter, $1,000,000 higher than our 2024 performance. Other income was an expense of $10,000,000 compared to income of $5,000,000 in 2024. The decrease was primarily due to unfavorable foreign exchange translation and a one-time charge of $8,000,000 related to asset impairment costs on idled equipment. The one-time impairment charge is excluded from our adjusted results. We do not expect the idling of the assets to have a material adverse effect on our financial position, results of operations, cash flows, liquidity, or capital resources. Adjusted EBITDA in the fourth quarter was $85,000,000 or 19.1%, compared to $78,000,000 or 19.1% in the prior period. Adjusted earnings per share was $0.66 in 2025, compared to $0.58 last year. Adjusted free cash flow was $31,000,000 this quarter, compared to $28,000,000 in the prior year. Now let us discuss our full year 2025 financial results. Sales were $1,764,000,000 compared to $1,670,000,000 in 2024, an increase of 5.7%. We benefited from higher volumes and pricing actions, which were partially offset by foreign exchange headwinds. Gross margin was $498,000,000, an increase of $36,000,000 from 2024. In addition to favorable pricing and volume, we saw lower manufacturing costs, which were partially offset by higher logistics and duties, along with an unfavorable foreign exchange impact. Selling, administrative, and research expenses for the full year were $225,000,000, a decrease of $3,000,000 compared to the prior year. The decrease was primarily driven by lower one-time separation costs, partially offset by increased people-related and consulting expenses. Joint venture income was $34,000,000 in 2025, flat to the prior year. Other income was an expense of $8,000,000 in 2025, compared to income of $7,000,000 in 2024. The decrease was primarily due to the previously discussed asset impairment charge in the fourth quarter and unfavorable foreign exchange translation. Adjusted EBITDA was $354,000,000 or 20% compared to $330,000,000 or 19.7% in 2024. One-time costs related to separation were $16,000,000. The effective tax rate for 2025 was 22.1%, compared to 21% in 2024. The increase was driven by unfavorable changes in the mix of earnings. For the full year 2025, adjusted EPS was $2.73 compared to $2.50 in 2024. For the full year 2025, adjusted free cash flow was $158,000,000 compared to $115,000,000 in 2024. The improvement in adjusted free cash flow was driven by an improvement in working capital. This was partially offset by higher non-trade receivables, primarily driven by the timing of VAT recoveries from Mexico. Free cash flow has been adjusted for the full year by $10,000,000 for capital expenditures related to our separation. Now let us turn to our balance sheet and the operational flexibility it provides to execute on our growth and capital allocation strategy. In conjunction with our acquisition of Cook Filter in early January, we entered into an amended and restated five-year credit agreement consisting of a $1,000,000,000 term loan and a $500,000,000 revolving credit facility. The term loan was fully drawn at closing, and we have full availability under the revolving credit facility. Combined with an estimated $201,000,000 of cash on hand following the acquisition, we had an estimated $701,000,000 of liquidity. After financing the Cook Filter transaction, our leverage ratio is approximately 2.1 times. We expect continued strong EBITDA and cash flow generation to support ongoing deleveraging during 2026. I want to thank the Atmisonians around the world for their extraordinary ability to navigate challenging markets and deliver a full year of strong performance. Our strong liquidity and balance sheet will fuel our four-pillar growth strategy throughout the year ahead as we continue to focus on creating value for all of our stakeholders. Now we will take your questions.
Operator: We will now open for questions. To ask a question, press star, then the number one on your telephone keypad. We ask that you please limit your questions to one and one follow-up. Our first question will come from the line of Tami Zakaria with JPMorgan. Please go ahead.
Stephanie Disher: Hi. Good morning. Very nice results. I wanted to ask about your acquisition Cook Filters. I think I remember one of the slides said 8% of revenues tied to data centers. Can you give us an update on what kind of growth you are seeing there and what kind of filters specifically are being serviced in that market? Is it genset filters, turbine filters, filters for the racks? So any color would be helpful. Good morning, Tami. Nice to speak to you. Thank you for the question. So a couple of things I think I will touch on. This is the first time we have talked about Cook Filter and the integration with our results and the establishment of the Industrial Solutions segment and the first time we are providing guidance for that segment. So I might take a moment to just talk through the pieces of that for you. As a reminder, we are including revenues for Cook Filter from the date of the closing of January 7. So what this means, essentially, is there is $3,000,000, one week of sales for that first week, that will not be a full year this year. So if you take out that sort of $3,000,000 stub period, the way we see the opportunity or the guide of the industrial business, it is a fairly wide range at this stage, but it is about a 1% to 8% range. And the way I am thinking about that is 1% price, about 1% to 2% share, and the market will pulse largely around GDP at the midpoint at this point, around that sort of 2.5% to 3%. And so most of our business there is commercial HVAC and industrial HVAC. So that is the majority of the business. I expect that to pulse around GDP at this stage. And then you rightly pointed out that there is 8% of the business that is supporting the data center market and growing at, you know, a high teens rate, is how I would think about that part of the business. Obviously, we are looking to understand that business, the opportunity to invest in greater product development capability to support growth, outgrowth in that market. And we are working with the team on that. They support that segment already. They have very strong customer relationships with the top 10 players in those markets. And, really, we see an opportunity to continue to invest in the product development range to grow with existing relationships, strong relationships with customers. Understood. That is very helpful. And I think you are expecting 1% pricing for the year. Just wanted to understand if some of the existing tariffs get rolled back, does that mean pricing at some point could turn negative this year as you give back some of it or this 1% is just core pricing and is not really related to tariffs? Yes. I think the way that you are thinking about it, the 1% really is core pricing. We saw a much higher pricing rate in 2025 and that was largely associated with tariffs. And as a reminder, our aim with tariffs is to be price-cost neutral. And so we are seeing some changes in the tariff landscape. Recent announcements regarding an agreement with India, obviously, resulted in, you know, reduced tariffs in some places. So, and we will adjust. Obviously, if we are not incurring the tariff cost, we will not pass that in price to our customers. In addition, we have continued to pursue cost reduction strategies to mitigate tariffs, and as we do that, we will not pass on that cost if we are not incurring it. And then, additionally, it is yet to play out on how the offset mechanism will work for tariffs, you know, in terms of our customers being able to claim offsets when it is manufactured in the U.S. So the way to think about the 1%, it is our base pricing. We are not assuming additional tariff pricing actions, so you will not see the same level of pricing you saw in 2025.
Operator: Our next question will come from the line of David Emerson Ridley-Lane with Bank of America. Please go ahead.
David Emerson Ridley-Lane: This is David Ridley-Lane on for Andrew Obin.
David Emerson Ridley-Lane: Congratulations on the close of the Cook Filter acquisition. You were very deliberate, and it seems like a really good fit. And I know you said you will focus on integration in the near term, but could you walk through the opportunity that you have to insource filtration media at Cook? Because I think it is really important to understand that you have real, true gross margin synergies when you acquire an industrial filtration company that buys third-party filtration media. Thank you.
Stephanie Disher: Right. Well, thank you, David, and we are very excited about the Cook acquisition. We have been patient. I have spoken to many of you on quarterly calls telling you that we have a strong, robust pipeline, and so I am really pleased to be able to close this deal and integrate the Cook business into Atmus. Really, the way I would think about it, the first six months is very much focused on integrating the business. We have got a couple of IT and activities that we need to stand up there, and I expect that to be largely completed here in the first six months. Really, our priority in that time is supporting the Cook business to continue to do what they do well. They have served their customers well. They have continued to grow their business. And we want them to continue doing that throughout the first half and ongoing whilst we work with them to complete the integration in a seamless way. So that is how I would think about 2026. As we look ahead, really, we have identified synergies as part of closing of the deal. Most of those synergies are procurement synergies. We have already started working those and getting on with them. And then what we started kicking off with our team is more integrated workshops around innovation. So when we combine our filtration expertise, as you rightly point out, such as our in-house media design and manufacturing capability, with Cook’s end-customer market and their product ranges, not only what sort of synergy does that provide from a material perspective, because we certainly see some opportunity there, but the greater opportunity is how we innovate together to create products to support the end markets and the customers into the future. It will take some time to just think through exactly what are the best of those opportunities. The team have already started those innovation workshops, and I am looking forward to what that unlocks as we progress throughout the year.
David Emerson Ridley-Lane: Thank you for that. And then just as a quick follow-up, you were kind enough to give your view on the first fit markets being flat to up 10%. Could we get perhaps a little more color on if you see any rebound or signs of life in the off-highway markets.
Stephanie Disher: Yes. So I think the off-highway markets largely we see flat year on year. Overall, I would say a lot of our first fit business is pulsed by on-highway, and we are obviously more heavily weighted there. So a lot more of the impact that we see in off-highway is in the aftermarket businesses, and we see it reasonably flat year over year.
Operator: Our next question will come from the line of Robert Brooks with Northland Capital Markets. Please go ahead.
Robert Brooks: Hey, good morning, guys. Thank you for taking my question and congrats on the great results.
Robert Brooks: I wanted to dive a little bit more on the guide and specifically on the sales for Industrial Solutions. It seems pretty conservative, Steph. You mentioned the favorable market conditions in that end market of 1% to 4% growth, I believe. And then if I take into account, you know, Cook’s fiscal year 2025, they did $155,000,000 in sales. I know that you are missing $3,000,000 of sales based on the timing of the close. But ultimately, that $155,000,000 to $165,000,000 guide for Industrial Solutions sales in 2026 just seems a little bit conservative. So I was just hoping to get a little bit more clarity on that. Absolutely. Well, good morning, Bobby, and thanks
Stephanie Disher: for the questions. I am very happy to have your question, and I hope Rakesh Gangwani and the Cook team are listening in, because that will only help me, of course. But, look, here is how I would describe it. When we are talking the smaller numbers, and we wanted to make sure we split this segment out so that we focused on the growth in that segment and we gave full transparency to the market of how it was performing. But, obviously, it is a pretty wide range of 1% to 8% when you take out the $3,000,000 stub period. And so you are talking a $158,000,000 to $168,000,000. And at the top end of that range, that is pretty impressive if the team can do that. And at the midpoint of the range, I expect them to be able to do that. And so how should you think about the midpoint, and what are the drivers of, you know, opportunity that drive you to the top of that. I would think about price at around 1%. We certainly, Cook have put in a price increase at start of the year here. We are still learning exactly how their price, you know, impact flows through, but around 1% is about right. I would think about share at 1% to 2%. The team have got a clear outline of what they are going after in terms of share opportunities. And so that really leaves you with the question is what is the market? And largely, I would have this pulsing around GDP at around the 2.5% mark. There is, with the range we have got there on market, 1% to 4% at this stage, but that really is if we see stronger, you know, stronger position or we are able to more quickly pivot into higher growth markets, that would be the further. But this is what we see as the guide for 2026. Rakesh and his team do not see it as conservative. There is a lot to do here in the year ahead, but, hopefully, that gives you the color to help understand how we are thinking about it.
Robert Brooks: Absolutely. Appreciate it. That is great color. I can definitely appreciate the moving factors of getting everything integrated and some hurdles there. But to the next question is, you know, the administration rolled back some pretty significant emissions or kind of emissions legality pieces. Was just curious to hear, like, how do you think the customers are thinking of that rollback? You know, kind of how I think about it is it seems like there has probably already been a lot of engineering to spec in your filtration pieces. So it is
Robert Brooks: kind of
Robert Brooks: very costly to then spec it out. But just wanted to hear your broad thoughts on that piece.
Stephanie Disher: Yes. So I think we are all aware of the rule being finalized to rescind the 2009 EPA endangerment finding for greenhouse gases. And so the way I think about that, it eliminates the legal foundation for all federal vehicle greenhouse gas standards. So it has broad-based implications, not only to the heavy-duty truck markets that we support, but also more broadly for passenger vehicles and so forth. What is important, explicitly, it does not repeal criteria pollutant standards such as NOx. So when I think about this at the moment, I think about two main impacts for Atmus. The first is the near-term impact associated with 2027 standards for the 2027 engine launch. And we still expect, based on feedback from our customers—there has not been an official announcement or this being confirmed at this stage—we still expect the NOx standards to hold for the 2027 engine launch, and at that 35-milligram level. What is included in our guide is an element of pre-buy in 2026 on the basis that we see, you know, the cost of engines or cost impact on trucks to be about $10,000 to $15,000 associated with the NOx standards coming in 2027. So in the near term, we really do not expect a change to the product development that we are doing and will likely launch in 2027, but that will still be confirmed. There has been no announcement explicitly on that. That is based on feedback from our customers. And then as I think about the longer term, really, this has implications for the trajectory of electrification and so forth. So, you know, obviously, our business potentially has tailwinds associated with the changes in regulation here.
Operator: And, again, that is star one for any questions. We will pause for just a moment. We will take our next question from the line of Siobhan Srivastava with R.W. Baird. Please go ahead.
Siobhan Srivastava: Hey there. Good morning, guys. Thanks for taking the question. Just a quick one around your adjusted EBITDA guidance. It seems to be flat year over year. Just wondering what any puts and takes are around that. Also, I was wondering if you had any self-help levers that you are planning on implementing throughout the year.
Stephanie Disher: Jack, do you want to take that? Absolutely. So, hey, thanks for the question.
Jack Kienzler: Yes. At the midpoint, you know, it is flat year over year. You know, I think a lot of different puts and takes, of course, as we think about how that will move throughout the year. But overall, I think it reflects still strong incrementals for the business, particularly as we think about different investments we want to make to continue to fuel that top-line growth. You know, and I think about how that will move sequentially through the year will largely just be pulsed by the volume that is flowing through our different manufacturing plants and how much leverage we can get out of that. In terms of opportunities and whatnot, we are continuously evaluating how we can continue to take cost out across the business. I think more to come on that. We are really pleased with the supply chain transformation work that the team has delivered over the past three years. And I think, as we set our sights on the future, we are excited to continue to look at that landscape and continue to identify efficiency opportunities. And that will conclude our question-and-answer
Operator: session. I will now turn the call back over to Todd Chirillo for closing comments.
Todd Chirillo: Thank you, Regina. That concludes our teleconference for the day. Thank you all for your participation and for your continued interest. Have a great day.
Operator: This concludes today’s call. Thank you all for joining. You may now disconnect.